Operator: Good day. And welcome to the Danaos Corporation Conference Call to discuss the Financial Results for the Three Months Ended June 30, 2015. As a reminder, today's call is being recorded. Hosting the call today is Dr. John Coustas, Chief Executive Officer of Danaos Corporation; and Mr. Evangelos Chatzis, Chief Financial Officer of Danaos Corporation. Dr. Coustas and Mr. Chatzis will be making some introductory comments and then we will open the call to question-and-answer session. Please go ahead, sir.
Evangelos Chatzis: Thank you, operator. Good morning, everyone, and thank you for joining us today. Before we begin, I quickly want to remind everyone that management's remarks this morning may contain certain forward-looking statements and that actual results could differ materially from those projected today. These forward-looking statements speak and are made as of today, and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC and we encourage you to review this detailed Safe Harbor and Risk Factors disclosures. Please also note that where we feel appropriate, we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release and accompanying materials. Let me now turn the call over to Dr. Coustas, who will provide the broad overview of the quarter.
John Coustas: Thank you, Evangelos. Good morning everyone and thank you for joining today's call to discuss our results for the second quarter 2015. Danaos is reporting an another solid quarter with adjusted net income of $38 million or $0.35 a share, more than tripling the adjusted net income of $11.6 million or $0.11 a share that has been reported for the second quarter of 2014. The company's profitability improved between the two quarters through a $20.6 million improvement in net financing costs, together with $5.1 million increase in operating revenues. The trend of reduced financing costs and as a consequence increased earnings will continue through the next quarter, as we continue to reduce debt and benefit from the expiration of expensive interest rate swaps. The container charter market, corrected during the second quarter, partially giving back some of the gains realized during the first quarter of the year. However charter still remains at relatively healthy levels. It is our view that the current state of charter markets constitute a more stable equilibrium. We believe the this adjustment is good for the longer term health of the market and speculative ordering is discouraged. At the same time the drop in box rates is the combined result of our capacity and market share competition between the global carriers. Our cameras continues to be strong at 96.4% in terms of operating revenues for the next 12 months, which insulates us for market volatility. At the same time, our $6,000 a day operating costs clearly positions us as one of the most efficient operators in the industry. We will continue our strategy to deliver our balance sheet, manage our fleet efficiently and capitalize in the resilience of our business model towards creating value for our shareholders. With that, I will hand over the call back to Evangelos who will take you through the financials for the quarter. Evangelos?
Evangelos Chatzis: Thank you, and good morning again, to everyone. I will briefly review the results for the quarter and then open the call to participants and give them the opportunity to ask questions. During the second quarter of 2015 we had an average of 56 containerships compared to 55.8 container ships during the second quarter of last year. Our adjusted net income was $38 million or $0.35 per share for the quarter, higher by $26.4 million or 228% when compared to the $11.6 million or $0.11 per share of adjusted net income for the second quarter of 2014. As mentioned earlier, this improvement is attributed to $20.6 million improvement in financing costs, together with a $0.7 million improvement in total operating costs, and $5.1 million increase in operating revenues between the two periods. Our financing costs will continue to improve in the coming quarters as we continue to delever our balance sheet and expensive interest rate swaps continue to expire. To put this into perspective, our current adjusted net income of $38 million for the second quarter would have been $51.7 million or $0.47 per share if the current interest rate swaps were not in place. These swaps have already started to expire and will continue to expire through the remainder of the year. And as a result, we expect the consistent improvement in financing costs. With an average charter duration of 7.6 years, well exceeding the remainder duration of the swaps which is around three quarters. We believe we will be able to take advantage of the anticipated low LIBOR environment on the back of solid contracted income generation. Operating revenues increased by 3.7% or $5.1 million to $141.5 million in the current quarter compared to $136.4 million in the second quarter of 2014. This is attributed to $2.5 million of net incremental revenues from the vessels bought and sold between the two periods, $0.4 million of higher revenues attributed to better fleet utilization between the two periods, and $2.2 million of higher revenues related to revenue recognition accounting of the Zim restructuring that became effective during the third quarter of 2014. Vessel operating expenses increased by 2.4% or $0.7 million to $29.6 million in the current quarter compared to $28.9 million in the second quarter of 2014. The increase is attributed to incremental operating expenses of $1.2 million for vessels priority and performance that were acquired during the fourth quarter of last year, partially offset by $0.5 million reduction in operating expenses of vessels that incur operating expenses during the second quarter of 2014 and were subsequently sold. The average daily operating cost per vessel slightly increased by 1% to $6,018 per day for the current quarter from $5,957 per day for the second quarter of last year. Management believes that our daily operating cost ranks as one of the most competitive in the industry. G&A expenses decreased by $0.1 million to – increased rather to $5.4 million in the current quarter from $5.3 million in the second quarter of 2014. Interest expense decreased by 12.8% or $2.6 million to $17.7 million in the current quarter compared to $20.1 million in the second quarter of 2014. The decrease in interest expense is mainly attributable to lower average indebtedness between the two quarters of $223 million, as well as to a decrease in the cost of debt servicing between the two quarters mainly attributed to the accelerated amortization of our fixed rate debt, which bears a higher cost compared to our floating rate debt. Our average indebtedness for the current quarter is $2.9 billion versus $3.1 billion in the second quarter of 2014. Realized losses on interest rate swaps decreased by $17.3 million to $14.5 million in the current quarter, a decrease of 54% when compared to the $31.8 million interest rate swap expenses that were incurred in the second quarter of 2014. As mentioned earlier, this decrease is attributed to more than $1.4 billion of lower average notional amount of swaps between the two periods, as a result of swap expirations. Finally, adjusted EBITDA increased by 4.1%, or $4.1 million to $103.1 million in the current quarter from $99 million in the second quarter of 2014. The increases is mainly attributed to the aforementioned $5.1 million increase in operating revenues, partially offset by a $0.7 million increase in vessel operating expenses between the two periods. With that, I would like to thank you for listening to this first part of our call. Dr. Coustas and I will now take questions. Operator?
Operator: [Operator Instructions]. And our first question comes from Mark Suarez of Euro Pacific Capital. Please go ahead.
Mark Suarez: John you talked about, somewhat of a correction in rate change, in opening of your remarks here and we are seeing some corrections in the Panamax and to certain extent to Panamax sector, do you get a sense that this is mostly driven by a slowdown in intra-regional trade demand if you especially intra-Asia and how do you sell, how you see that trending at the back half of the year?
John Coustas: I think that the demand that created this kind of rate hike in the beginning of the year was a bit an exaggerated I mean we were sure that it was going correct. Overall I think that’s intra-Asia on one hand it's relatively healthy the thing is we’re seeing really the continuous trading. We have a lot of big ships coming in the market. I mean for this year we have a lot of deliveries more or less this kind of trading [ph] effects charge market quite significantly and there was also the effect of extra [indiscernible] due to the U.S. West Coast strike which you know gave also kind of an upwards push. All these effects have now come down and we’re definitely going to see lower levels. I don’t believe there is going to be OpEx levels that we were less say about a year or year and half ago. But on the hand as I said it's pretty good that the market is not repeating because as you see ordering is now surely confined to the ultra-large 20,000 [indiscernible] but nothing in the smaller sizes because it doesn’t really make economic sense to do any kind of ordering in that area.
Mark Suarez: And then if you look at the second hand tonnage market and you alluded this in the prior quarters, are you still seeing some good target opportunities out there, we got assume you have amounts of debt on your balance sheet and how will you describe these opportunities, are these mostly charter free so mid-sized vessels one if you can give us some color into that market?
John Coustas: Yes mainly it's definitely to pay a premium on a ship today because of a charter, it's not really -- you’re paying much more than what you will be getting the difference. So I mean we’re not there, we look at say like that, because of the charter you’re paying disproportionately higher price. We very much prefer an outlook of ships that are charter free at the good price and which are relatively near to scrap value. So the actual downside could be pretty low and of course [indiscernible] good characteristics, good efficiency and that is not always the question of age [ph].
Operator: [Operator Instructions]. Our next question comes from Charles Rupinski of Seaport Global. Please go ahead.
Charles Rupinski: I guess my view is sort of dovetails into that I may have missed it, but in terms of incremental vessel acquisitions over the next few years, is there any particular age group of subset, clearly they are not going to the 20,000 TEUs but then you would say that if you’re really renewing your fleet you would think it would be more interesting here?
John Coustas: As I said, I mean because we’re really in a very fluid situation both in terms of trade structure and also in terms of let's say technological kind of developments and of course the energy scenario. We don’t want to go into higher exposure builts, that’s why I said we will be looking at deals have relatively low downsized. I mean ships that are let's say that are relatively young but at the same time very near the scrap value and that’s really one that would be targeted.
Charles Rupinski: And can you just give me a gist of these ships that you will be targeting, how will they compare say to a new vessel in terms of fuel efficiency and clearly the cost is going to be low I would assume but is there a big difference there that we would think about if we think about modeling going forward?
John Coustas: Well it's a very question because it depends very much on the specific type of ship.
Charles Rupinski: It may well be too general to pinpoint.
John Coustas: I cannot really give you but it depends in the ship size, it is the correct dynamics on every segment.
Operator: [Operator Instructions]. Our next question comes from Gregory Lewis of Credit Suisse. Please go ahead.
Gregory Lewis: John, I mean you laid out in the presentation clearly you’re filing into turning into all this backlog and into cash flows and into paying down debt you know rather aggressively as we look at the any financial metric they continue to get that. Has that impacted at all any conversations you’re having with your banks about you know maybe not where it announces in the next quarter or two but where it is in the next year or two in terms of any flexibility?
John Coustas: Well as we said we are in customers with the banks, as you know very well there are particular one bank that in our let's say among the our consortium that are really kind of trying disengage from shipping and in general discussions about our request to change some terms of the structure in agreement. It's not that it's agreed but purely their agenda is completely different. On the other hand as we have already said before we’ve let's say some flexibility of using some funds for growth and we are going to exploit whatever flexibility our restructuring agreement is giving us. In order to try and participate in some interesting deals.
Gregory Lewis: And just following up on that I mean it looks like in Q2 your return on equity was in the high teens, is there any thought and I think we saw another shipping company do this more recently, is there thought about using equity in a transaction where you’re basically giving an existing ship owner private equity firm, equity for vessels? Is that part of the thought process or is that something that’s at this point doesn’t really interest than else?
John Coustas: Basically what we’re looking for, we’re able -- because we have a 90% kind of pass rate and through that this other 10% gives us some kind of flexibility to us that kind of equity let's say for expansion. The thing is if we want we are unable to take on more debt without let's say, I mean going back to the banks and we have -- we will discussion that there are various ways that we’re exploring in order to overcome let's say this issue and I think that pretty soon hopefully by the next quarter we will be able to record something on this front.
Operator: It appears we have no further questions at this time. I would like to turn the call back over to Dr. Coustas for any further comments or closing remarks.
John Coustas: Well thanks all of you for joining the conference call and for your interest in our story. We look forward to hosting you at our next earnings call with more new updates on the company and of the market. Thank you.
Operator: Thank you. This does conclude today's teleconference. We would like to thank everyone for their participation. Have a wonderful afternoon.